Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Vail Resorts fiscal 2009 first quarter results conference call. (Operator Instructions) I would now like to turn the conference over to Rob Katz, CEO of Vail Resorts. Please go ahead, sir.
Robert A. Katz: Thank you, Operator. Good morning, everyone. Welcome to the Vail Resorts fiscal 2009 first quarter earnings conference call and simultaneous webcast, both open to the public and press at large. I’m Rob Katz, Chief Executive Officer of Vail Resorts. Joining me on the call this morning is Jeff Jones, our Chief Financial Officer. Before I get into the discussion of our results, let me remind you that we are using the term reported EBITDA and to report for each of our operating segments, namely mountain, lodging, and resort, which is a combination of the mountain and lodging segments, and real estate. The company defines reported EBITDA as segment net revenues less segment operating expenses plus segment equity investment income or loss. The company also uses the term net debt, which is defined as long-term debt plus long-term debt due within one year less cash and cash equivalents. Complete reconciliations of reported EBITDA and other non-GAAP financial measures can be found in this morning’s earnings release and on the vailresorts.com website in the investor relations section. I also need to mention that comments made during this conference call other than statements of historical fact are forward-looking statements that are made pursuant to the Safe Harbor provisions in the Private Securities Litigation Reform Act of 1995. Certain risks and uncertainties could cause actual results to differ materially from those contained in the forward-looking statements. Investors are directed to the risks and uncertainties described in the documents filed by the company with the Securities and Exchange Commission, including the company’s Form 10-K for the fiscal year ended July 31, 2008, and Form 10-Q for the first quarter of fiscal 2009. In addition, the Safe Harbor language in today’s press release also applies to our comments on this call. All guidance and forward-looking statements made on this call are made as of the date hereof and we do not undertake any obligation to update any forecasts or forward-looking statements except as may be provided by law. So with that said, let’s turn to our results for the first quarter as well as an update on real estate project status and 2008/2009 season indicators. The results for the first quarter cover a seasonally low period in which we historically incur a substantial loss and the results were generally consistent with our expectations. These results were driven by our summer mountain lodging businesses, including our summer Grand Teton lodge company operations, Gulf operations, and the timing of real estate closings. The results were also impacted by normal increases in fixed non-ski season related expenses, which expenses drive the historical first quarter loss each year. Importantly, we are very pleased that in this unprecedented period of disarray in the global economy and capital markets we ended the first quarter in a very strong financial position with our ratio of net debt to trailing 12 months total reported EBITDA of 1.38 times. Jeff will provide more detail on our financial position a little later but I want to say how proud I am of the discipline the company showed over the past few years as it is certainly a differentiator in today’s environment. In addition, much of our effort in building loyalty, exclusivity, and commitment from our guests is becoming evident as another differentiator for us. First, Colorado season pass sales actually strengthened since our last earnings call despite a period of worsening macroeconomic conditions. And we introduced a paradigm shift in how destination guests purchase their skiing with the introduction of the epic season pass. For the 2008/2009 season, we have sold to date approximately 204,000 total season passes, including epic season passes, for total sales of $90.9 million as compared to approximately 173,000 passes and $70.5 million in sales dollars in the prior year same time period, an increase of 18% in pass units and 28.8% in sales dollars. Total epic season pass sales for this year were approximately 59,100 passes and $32.5 million in sales dollars, a terrific beginning to this new program, particularly in the current environment. The number of Colorado and Summit season passes sold for the 2008/2009 season are down 2.6% in units as compared to the number of passes sold in the prior season when including Colorado Summit season pass holders who upgraded to the epic pass. If we include sales of Heavenly season passes to date, the decline is 4.7%. These compare to declines of 8.4% for Colorado Summit and 10% including Heavenly that we reported on our last earnings call. Our season pass program continues to be a fundamental and growing part of our operating model, offering stability from economic and weather-related concerns by locking in a significant amount of our lift revenue before the winter ski season even begins. Historically, season pass revenue has represented approximately 26% of lift ticket revenue, with this percentage mix expected to increase materially this season. Second, we closed on 42 of 45 units to date in our Crystal Peak Breckinridge real estate project for gross proceeds of $54.6 million. In this market, these closings represent a huge vote of confidence from buyers in our Breckinridge resort and in the long-term quality of our real estate projects. Third, we received final deposits on 384 of the 390 reserved memberships to date for our recently opened Vail Mountain Club, representing gross proceeds from initiation deposits of $70.1 million. This represents another strong commitment from our guests in the experience they know our company can provide. Offsetting the impact of these positive indicators were lodging reservations, which have continued to be soft. Advanced lodging bookings for our upcoming ski season through our central reservations and directly at our owned and managed properties are currently 23% below last year’s levels and room nights. This reflects a similar trend that others have seen in the travel and leisure sector. Bookings to date represent approximately 50% of the ultimate total room nights for the season we historically have booked through these channels. Although we still have limited visibility on bookings in this environment, we believe that many consumers are at a minimum delaying their travel decisions, while some are apparently choosing not to travel at all this year, a trend that makes us grateful for the significant season pass and drive to business that we have. While we believe our company goes into this economic downturn in a very strong relative position, we also do not believe we are in any way immune to the potential impacts. Therefore, we have continued our efforts to find ways our company can be more efficient, providing the guest experience we are known for while at the same time reducing costs. Toward that end, we have instituted numerous cost-saving measures across the company, including outside third-party fees, consolidating our purchasing, reducing energy and materials usage, limiting compensation increases and benefits, and targeted reductions in our full-time year-round staff. Most important, regardless of how many guests ultimately come to our resorts this year, we remain 100% committed to creating an exceptional experience for each and every one of them, a fact that will be engrained in all of us this season. As an update on the current mountain conditions, we have had great recent snowfall at our Colorado resorts, with more snow in the forecast. At Vail, for example, we currently have 19 lifts open, including a portion of the back bowls and plan to have over 4,000 acres open by this Saturday to include Blue Sky Basin in addition to the back bowls. I would like to now turn the call over to Jeff who will provide you with an overview of our results for the first quarter of fiscal 2009. I will then provide an update on the status of some of our real estate projects as well as other exciting news at Vail Resorts. Let’s now turn to Jeff for our results.
Jeffrey W. Jones: Thanks, Rob and good morning, everyone. Earlier this morning we released our earnings for our first fiscal quarter ended October 31, 2008. Also this morning, we filed our Form 10-Q for the first quarter. Turning to the highlights of our results, as Rob mentioned the first quarter is a seasonally low quarter and historically loss quarter since the mountain resorts are only open for summer mountain activities, lodging, business, and golf operations. In the first quarter this year, we did have some construction related impacts related to our summer mountain operations, which negatively impacted results due to the temporary closures of Keystone related to our summer mountain operations, which negatively impacted results due to the temporary closures of Keystone On-Mountain dining facilities due to the construction of the new Keystone gondola, and the temporary closure of the summer on-mountain activities in Breckenridge, including the Alpine slide, due to real estate construction activities at Peak 8. Due in part to these impacts, total mountain revenue decreased 4.1%, which included a $1.1 million decrease in retail rental revenue negatively impacted by lower sales volumes, primarily in the Colorado front range. Taking a look at the mountain segment operating expenses during the first fiscal quarter, those expenses contain non-seasonal predominantly fixed expenses and allocated corporate expenses, which all increased normally in the current year quarter. In addition, the prior year quarter mountain operating expense included $2.3 million of legal costs associated with the Canyons litigation. Excluding the litigation expense in the prior year, expenses would have increased by 3.3% in the current year, primarily due to higher repairs and maintenance and allocated corporate costs, partially offset by lower variable expenses associated with the reduced retail rental and dining revenues. Mountain equity investment income, which represents our 50% stake in the [Cypress Minton Frampton] retail brokerage business, was also unfavorable due to the overall decline in real estate closings compared to the same period in the prior year from both commercial projects and residential sales. All of these anticipated items impacted mountain reported EBITDA, which declined 8.2% in the quarter compared to the prior year quarter. Our lodging segment revenue is favorably impacted by the Arabelle hotel, which opened in January 2008, as well as the ADR increase of 6.6% for our owned hotels and managed condominiums, which is partially offset by fewer available rooms and lower occupancy, primarily as a result of a decline in conference and group room nights, especially at GTLC. While REVPAR was flat to the prior year, when looking at it on a same-store basis excluding the Arabelle hotel, REVPAR was down 1.5%. During the first quarter of fiscal 2009, lodging segment results contained a full quarter of expected seasonally lower results from the Arabelle hotel, which were lower than the impact from pre-opening and start-up costs in the prior year. Now to our real estate segment -- as many of you know, our real estate segment results are primarily determined by the timing of closings and the mix of our real estate sold in any given period. Additionally, besides project-specific profit, which can vary significantly by quarter based on the timing of closings, real estate reported EBITDA each year includes administrative and overhead costs, allocated corporate costs, and marketing expenses on projects which are still not closed. The first quarter of fiscal 2009 real estate segment results were driven by the closings on 39 of the 45 Crystal Peak lodge units in Breckinridge, accounting for $51.2 million in revenue, and one lodge at Vail Chalet, accounting for $14.4 million in revenue. Subsequent to the end of the first quarter of fiscal 2009, the company closed an additional three Crystal Peak lodge units, two lodge at Vail Chalet units, and one Arabelle unit. Four additional chalet units are anticipated to close during the second quarter of fiscal 2009, with the remaining unit expected to close in the third quarter of fiscal 2009 due to the extensive nature of the buyer upgrades associated with that unit. In addition, we are very pleased to have completed construction on the Crystal Peak lodge project at lower-than-anticipated project costs, making the Crystal Peak Lodge real estate development project more successful from both an absolute contribution basis as well as a contribution margin basis than what had previously been estimated. This favorably impacted the first quarter results, which contained the significant majority of Crystal Peak lodge closings. Taking a look at the bottom line, net loss was $34.4 million, or $0.93 per diluted share in the first quarter of 2009, compared to a net loss of $24.6 million, or $0.63 per diluted share in the first quarter of fiscal 2008. Included in the prior year results is the $11.9 million credit classified as contract dispute credit and not included in our EBITDA, from the final settlement in our favor of the [Chikib] dispute. In addition, the results were impacted by increased depreciation associated primarily as a result of placing in service significant resort assets, which included the Arabelle hotel, a new skier services building, and the Vail Mountain Club associated with the Chalaise project, and an increase in the fixed asset base due to a higher level of capital expenditures. Net loss was also impacted by a $2.6 million decrease in investment income due to the lowered interest rate environment and a decrease in average invested cash during the period as a result of significant share repurchases over the past year, higher capital improvements, and construction costs related to vertical real estate development. Our tax benefit for the quarter was 36%, which was lower than the statutory rate and our historical rate, due primarily to period-specific reserves. We still anticipate our provision for the full fiscal year to approximate 39%, which is in line with our recent historical rate. As Rob mentioned earlier, we are very fortunate that we have a strong balance sheet. At October 31, 2008, the company had cash and cash equivalents on hand of $102.7 million, net debt of 1.38 times trailing 12 months total reported EBITDA, and a $400 million senior credit facility, which matures in 2012, with no revolver borrowings under the facility currently priced at LIBOR plus 50 basis points. Very importantly, the company has only $3.2 million of principal maturities due in total over the next five years. After paying off the non-recourse financing for the Lodge at Vail chalets and a $15 million revenue bond at its maturity in the first quarter of fiscal 2009. Now let me turn to our fiscal 2009 outlook. As we mentioned in the release, while we cannot say with any certainty at this point in time what impact the macroeconomic environment will have on the ultimate visitation and guest spend for the 2008/2009 ski season, we feel very fortunate to manage a company with world-class assets, a strong balance sheet, and terrific employees. However, there is no doubt that the travel and leisure sector has been and will continue to be negatively impacted in the short-term, and while we have many attributes that differentiate us from other options guests may have, we are not immune to those negative trends. Since issuing our fiscal 2009 guidance in late September 2008, we have seen a further deterioration in the overall economic fundamentals. In addition, while our season pass sales have been relatively strong, our advanced lodging bookings have not improved. We have just begun our 2008/2009 ski season and still have limited near-term visibility; therefore we believe it is too early to formally adjust our fiscal 2009 guidance. However, if booking trends do not improve from the current level, we almost certainly will fall below the low-end of our guidance range. I do want to announce that we have had -- we have decided to release more frequent disclosure of skier visits over the course of the ski season. These updates will include total season-to-date skier visits on a combined basis for all five of our mountain resorts and will also include the subset of skier visits recorded from season pass-holders. These disclosures will cover the season-to-date periods ending January 4, 2009; February 22, 2009; and April 12, 2009; and will be issued shortly after the end of those periods. These disclosures should provide more frequent updates on one measure of how our season is progressing. And finally, during the first quarter of fiscal 2009, the company repurchased 278,400 shares of common stock at an average price of $26.63 for a total amount of approximately $7.4 million in the quarter. Since the inception of this program in fiscal 2006, the company has repurchased 3,282,508 million shares at an average price of $40.48 for a total amount of approximately $132.9 million, with 2,717,492 shares remaining available under the existing repurchase authorization. The purchases under this program are reviewed by the company’s board quarterly and are based on a number of factors to determine the appropriate uses of excess cash, including the company’s future financial performance, the company’s available cash resources and competing uses for cash that may arise in the future, the restrictions in the company’s credit facility and in the indenture governing the outstanding 6.75% senior subordinated notes, prevailing prices of the company’s common stock, and the number of shares that become available for sale at prices that the company believes are attractive. At this time, I would like to turn the call back to Rob.
Robert A. Katz: Thanks, Jeff. Turning to our real estate activity, as I mentioned earlier, we have had a tremendous success with the Vail Mountain Club. With over $70.1 million of proceeds now received for the club, it is one of the most successful projects in our history and with the doors just opening for the club, we look forward to having our members start to enjoy one of the finest club experiences available anywhere in the world. Turning to our company’s lodging development, we are days away from the re-opening of the [Osprey] at Beaver Creek, formerly the Inn at Beaver Creek, which will be relaunched as Rock Resorts newest addition expected in time for Christmas 2008. This luxury boutique hotel, the nearest hotel to a chair lift in North America, will have a more contemporary design and will feature 41 rooms situated in the heart of the village of the world-class Beaver Creek resort. In addition, this quarter we announced continued growth in our Rock Resorts portfolio, including the return to the Northeast, with the planned addition of the Mansfield Inn at Stowe in Stowe, Vermont. Our Rock Resorts brand will continue to seek opportunities to diversify the portfolio in truly iconic new mountain resort and warm weather locations. As an update on our acquisition of Colorado Mountain Express, on November 1, 2008 we closed on the acquisition of CME for a total consideration of $38.3 million, as well as $0.9 million to reimburse the seller for certain new capital expenditures. We are very pleased to welcome CME and their employees to the Vail Resorts family. The operating results of CME will be reported within the lodging segment beginning with the three- and six-months ended January 31, 2009. CME is Colorado’s leading ground transportation company, providing service between the company’s four Colorado ski resorts, other locations in Summit County and Aspen and both Denver International Airport and Eagle County Airport. Before taking questions, I think it is important to highlight that even in the face of the current economic challenges the world is facing, Vail Resorts remains in a relatively very strong position. Over the past five years, we have used our excess cash to reinvest in our resorts and pay down our debt. As a result, we find ourselves with a very strong balance sheet and assets that have been primed for the future. Our five mountain resorts are five of the top 10 most visited in North America and all get outstanding marks from our guests in an industry that has not seen a new major resort created in 27 years. Our lodging, real estate, retail, rental, and transportation businesses are all in very strong positions and are well-integrated into the core mission of our company. Our sizable season pass program, unique not only among other ski resorts but also within the entire travel industry, remains a tremendous strength, allowing us to leverage the strong customer loyalty our company enjoys and provide our guest a very advantageous value. This year will assuredly offer us a challenge but I can guarantee all of you -- I can guarantee you all of these attributes, combined with the incredible passion of our over 15,000 employees, will continue to allow us to deliver on our long-term objectives. At this time, Jeff and I will be happy to answer your questions. Operator, we are ready for questions.
Operator: (Operator Instructions) Our first question comes from the line of Hayley Wolff with Rochdale Securities.
Hayley Wolff - Rochdale Securities: A couple of questions -- first, can you just talk about what you have seen sort of season to date through Thanksgiving, and then into December on visitation? And then related to that, can you talk about the bookings patterns of late as the snows come, you get closer to Christmas, what kind of holes do you have during certain peak periods this winter?
Robert A. Katz: Sure. I’m not going to give an update on visitation. I think that as Jeff mentioned, we are going to be giving an update shortly after the Christmas/New Year’s holiday period and so I think we are going to hold all commentary on visitation until then, and I think that -- I think our hope in doing that is to really provide that information much quicker than we did in previous years. On the booking patterns, what I would say is it’s very hard for us to really make any conclusions based on the short-term bookings. We have seen a pick-up in bookings in a number of different areas after we started getting some pretty significant snowfall last weekend, or two weekends ago. But again, we are talking about days and blips. I think that -- we’re not drawing any conclusions yet from it but obviously getting our only season of snow, which right now in Colorado is -- puts us in a strong position, especially relative to Utah, is something that is obviously a positive.
Hayley Wolff - Rochdale Securities: When you look at your mix of business, you’ve always talked about sort of 60% destination, 40% front range. When you think about your destination, what percent of that actually is kind of more of a drive to skier? And then on the pass numbers, it looks like you didn’t see that big of a decline in the Colorado pass, Summit pass buyer, so who bought the epic pass? Can you give us a little color on that buyer?
Robert A. Katz: I don’t have off the top of my head the exact number on the drive-to market. I think what I would say though is I think we would expect two things -- one is, based on the current trends as we are looking at them, I think we would expect our mix of business to shift this year from what it was last year and obviously Colorado and local to go up as a percentage of our total business. I think when we look at the end of the year and we can probably provide more color at that point, I think we will also see some benefit in some of the drive-to markets, except that there’s also -- that most of that drive market is going to Keystone and Breckinridge, probably guests at the lower end of the income scale. So again, I think we are going to have multiple factors which are going to be contributing to what we see from the drive-to market again outside of Colorado. No question inside of Colorado we are going to see that business grow. In terms of the pass numbers, we definitely saw I think significant strength from Colorado pass buyers, which I think was a huge vote of confidence and I think will be a huge differentiator for us going into this season. In terms of the epic buyers, I think we literally have just wrapped it up. I don’t think we’re ready yet to provide color on exactly who they are. I think we are going to be putting a lot of that information together and we’ll probably be able to talk about that more at the end of the season. But we -- when you look at who bought it, we definitely saw folks from I think a portion certainly from Colorado, some of the folks that upgraded, not a huge amount -- I would say relatively speaking, to the size of the Colorado Summit [inaudible] in terms of percentages of international buyers buying the pass as well. So in total, I think we’ve been very pleased. There’s no question that when you are -- we are essentially introducing a program to the destination market asking them to purchase their skiing up-front. I think given the economy and given how people are clearly delaying their purchase decisions in general, the fact that we have these kinds of results for the first year for the epic program I think speaks volumes.
Hayley Wolff - Rochdale Securities: Okay, great. I’ll let somebody else ask questions. Thank you.
Operator: Thank you. Our next question comes from the line of Anthony Powell with Barclays Capital.
Anthony Powell - Barclays Capital: Just a question on your strategy as you go into the ski season with promotions on the rooms. Some of the other -- like at the casinos have been discounting heavily on the rooms and they are getting people to visit, even though they are visiting at lower room rates. I have seen you done some sort of small promotions. Will you get more promotional as things sort of get closer to peak season, if you are not seeing the rooms still like you want?
Robert A. Katz: I guess what I would say is we very early on embarked on a strategy of being much more promotional. I think that what you are seeing in terms of our press releases are some of the company-wide promotions. But what I can assure you is that in each and every resort and each and every property, we are actively day-by-day, week-by-week, making sure that we are trying to target room rates and packages that allow people to come. I think we have a huge, very loyal customer base and we are going to do what we can do this year to make it easier for them to make the decision to come. I think most important, quite frankly in my opinion, and we’ve had a lot of these discussions, is not only the rooms that we control but really working with all of the other lodging partners that we have in our communities to make sure that they are on the same page in terms of strategy for being promotional as we are. And I think sometimes it may take a little bit longer for that group to do so but I think we are seeing that as well right now. But I think certainly for our owned and operated properties, we have been in that mode from the beginning. I don’t think you will see any greater acceleration of that but we are going to stay that way unless we see an economic shift over the next few months.
Anthony Powell - Barclays Capital: Would you consider maybe extending that to the actual lift ticket prices or do you want to hold the line there?
Robert A. Katz: I think our plan is really to include lift ticket as part of packages and obviously when you do that, there’s an inherent discount in that. What you will not see us do is really discount the lead lift ticket price. I think what we are looking is for folks either to buy their skiing up-front, in which case the epic pass and our other pass products are obviously an incredible value, or to buy a combination of products, in which case I think we will drive it that way. Our view is -- you know, when we look at the absolute experience that we provided, that will be provided this year, given all the capital that was spent last year, we feel very comfortable that at the front line or the top price, so to speak, that those prices are justified in I think increasing. That doesn’t mean we are not going to be more promotional as we go forward, like I said, in these packages. The other thing that I would say is that there’s been a big difference between if you looked over the last four to five years, in how quickly lodging rates have come up in the luxury sector versus our lift ticket price. I think that mode we go into, we do not take up our lift ticket price 20%, 30%, 40%, 50% just because demand is high in a particular period. What we do is take a very ratable approach. We take it up 4% to 5% per year, steadily, kind of in good times and bad, and I think the difference is just how promotional we are based upon the economic conditions around us.
Anthony Powell - Barclays Capital: Okay. And of your epic pass customers, how many have already booked their vacations for this year and how many are still waiting, if you have that?
Jeffrey W. Jones: I don’t have that.
Anthony Powell - Barclays Capital: Okay. And just a final one, from a cost savings, do you guys have a number, a target number that you are looking at for this year and maybe next year?
Robert A. Katz: We do. It’s not something that we are disclosing at this point. I think given that there’s a lot of factors that are going to play into how we do for this year, I think we felt that since we were not providing new guidance per se, we did not want to just provide one piece of it. But what I would say is it’s material. I think the combination of all the things that we outlined really is a material improvement to wherever the revenue line winds up coming in.
Anthony Powell - Barclays Capital: All right. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Woronka with Deutsche Bank.
Chris Woronka - Deutsche Bank: Good morning, guys. I just want to try to maybe ask a margin question a different way -- how do you look at it? We know you’ve been more promotional and that’s probably the right thing to do and we know you are taking some costs out of the system where you can, but how -- just how do you guys look at kind of the marginal profitability of the customer and can you use price to entice visitation? And just kind of how you think about that as the season unfolds.
Robert A. Katz: You know, look, it’s always a trick. Obviously I think what you are looking to do is to provide great packages that entice people to come, packages that allow people to pick up the phone. Even if they don’t buy that exact package, they may buy something else. But you are obviously not looking to just give away product where it doesn’t help to generate business. Therefore, we spend a tremendous amount of time literally every day looking at what packages, prices, and promotions are working. What I would say is, and you can obviously just look at our overall business, the promotions on our lodging business clearly is something we have to watch with the occupancy but that’s not necessarily going to be in and of itself a huge driver of our EBITDA for the year. What is a big driver, obviously, is the business that goes on on our mountain. And on that side, what I would say is that clearly if we are going to be doing more local and Colorado based business and less destination business, I mean, that is a higher margin customer. So there’s no question about that. I think if we see some fallout from the bottom of our income scales, that might have been a lower margin customer on the destination side. So there’s a lot of different factors that really are playing into this and I think we are going to have to add our savings plan and the fact that we are going to be as efficient as we possibly can be for the season. I will say, we said it a number of times in a number of different places, but I would say we will not reduce the experience for the guest. So even if we are down in skier days, we are not going to reduce our terrain. We are going to still open as much terrain as we can do, given the weather, in terms of restaurants, in terms of lifts, all of that because obviously anyone who comes out is going to be expecting a certain level of experience and that’s not something we are going to want to disappoint people on. There are certain variable expenses that we will be able to pull down. Obviously if we have less people in a restaurant, we need less people to bus tables or we need less people to serve but apart from that, the experience will be the same. So I guess in total, yes, I think we are expecting certainly a margin decline. Exactly how that is going to play out, I don’t think we’re ready to say.
Chris Woronka - Deutsche Bank: Okay. And can you just tell us how the seasonality of that CME business works?
Jeffrey W. Jones: The CME business, Chris, is highly seasonal, very much like our mountain business. So in our mountain lodging related business, so their high season is right in line with ours and then they will do business throughout the summer, similar to our mountain lodging business but in a smaller proportion than what obviously we do in the mountains. So it tracks very similarly.
Chris Woronka - Deutsche Bank: Okay, great. Thanks.
Operator: Thank you. Our next question comes from Will Marks with JMP Securities.
Will Marks - JMP Securities: Thank you. I want to get back to the 23% decline in the lodging and first of all, do you have a figure for what that is in revenue?
Jeffrey W. Jones: It’s about the same, Will. I think 24% in sales dollars, 23% in room nights.
Will Marks - JMP Securities: Great, thanks. And then on not changing guidance at this point, can you just clarify a little more -- is this a combination of because of snow not falling until fairly recently you’re doing it, it’s because of shorter booking windows? And maybe if you can look back at the 2001/2002, was there a situation where bookings really picked up?
Robert A. Katz: You know, I think it’s a decision that -- I think what we are really trying to do is two things -- we’re laying out for people that based on the bookings that we are seeing, even with the sales, the season pass sales numbers that we have, which obviously have been a positive, that that combination, if it does not improve from where we are, we will fall below the guidance. Now, I think that we do think there is a real possibility for close-in bookings. In fact, we have seen some of that but what’s not clear is how much we will get. I think in the ’01 time period, I think our overall bookings were down around 5%, our destination bookings. I don’t -- I think that we are looking at numbers that are much more significant in terms of the decline. I think we are looking at booking windows that are much shorter in, even than they were in the 2001 time period. With that said, we are also looking I think at an overall macroeconomic picture that’s as volatile as anybody has ever seen -- volatile means down and up, and I think we are still obviously going to do everything we can to prime ourselves for the possibility of really seeing some pop on the short-end bookings, and yes, we still think that that’s a very real possibility.
Will Marks - JMP Securities: Great. That’s very helpful, thanks. And a few other things -- on the chalets, it appears there are five left to close; is that correct?
Jeffrey W. Jones: Yeah, there’s -- and there’s actually -- I mean, closings happening literally in the next few days as well, so really all but one we’ll have closed here in the next few weeks and the one that won’t close until the third quarter has a significant amount of pre-funded upgrades that are making it a longer to get it done but will be done in the third quarter.
Will Marks - JMP Securities: And do you have any reason to think that buyers would walk from their deposits?
Robert A. Katz: No, we’ve gotten no indication whatsoever that any of the buyers for the Chalets would walk from their deposits.
Will Marks - JMP Securities: Okay, and then along the same lines, I think it was six Mountain Club buyers haven’t closed. Can you give a reason for that?
Robert A. Katz: I don’t know that we can give a reason but they did default, so I mean -- I think they -- I don’t know what -- I think there were a couple of full memberships with a $100,000 deposit, a couple of social memberships with a $50,000 deposit. I don’t think we can get into why they didn’t close.
Will Marks - JMP Securities: Sure, and including those, how many potential sales are there at Vail Mountain Club?
Robert A. Katz: I think we had talked about 400. That’s really what we had available and I think we are going to monitor that very closely. We also are going to be taking or making preparations for the Arabelle club, and so we will be looking at kind of both of those, both the available inventory at the Vail Mountain Club and the timing -- at the Vail Mountain Club and then the timing of the launch of the Arabelle club. But what I would say is it’s a handful at this point.
Will Marks - JMP Securities: Okay, and one final question -- any updates on the Canyons? I assume that deal did close -- any resolution? Is there a pending lawsuit?
Robert A. Katz: Yes, it did close and there is a new buyer who owns the Canyons. We do still have pending litigation in that and so we are not going to comment on it beyond what I just said.
Will Marks - JMP Securities: Great. Thanks, guys.
Operator: (Operator Instructions) Our next question comes from the line of Jake Hindelong with Monness Crespi Hardt.
Jake Hindelong - Monness Crespi Hardt: A few questions -- first on the on-mountain spend, the increased skier data disclosure is definitely going to be helpful. Can you comment on how you expect the next shift with epic pass to impact on-mountain spending and obviously you don’t know yet but I guess from what you have seen here in the first few weeks?
Robert A. Katz: First of all, I would say that I think we can give some thoughts on it but it has no -- the first few weeks has no bearing on this color. I think what I would say is that I think the epic pass is the product that people will use to get on the mountain. I think it is certainly our hope and one of the reasons why we launched it, as people will take more trips to our resorts if they have purchased an epic pass. We’ve heard anecdotal evidence of that but I mean, we won’t know any of this until the end of the year. I think the key thing is not really the lift ticket product that they purchased but obviously whether they are a destination customer or a local or regional customer, and I think that’s going to determine what the ultimate spend is and that obviously even if you are a destination customer let’s say from New York or Chicago, how much is that person going to spend even if they do come out? I think both of those are things that are still unclear at this point. It’s way to early in the season. This will not be part of the disclosure that we make right after the Christmas/New Year’s holiday period but will be part of the disclosure in our standard quarterly conference call at the beginning of March.
Jake Hindelong - Monness Crespi Hardt: Okay, great. That’s helpful. And on the corporate level, the recently announced cost-cutting initiatives, can you make any kind of commentary on either a percentage or a dollar basis what that’s going to mean to operating expenses? It might even be helpful to address what it would have meant in a seasonally slow quarter, say as the first quarter, if those adjustments had been made previously?
Robert A. Katz: You know, we’re not and I think it’s -- I think we made the decision that because we are not providing more guidance, or more guidance on our guidance, that we are not going to provide pieces of it and so at this point, I think what I said earlier I’ll stick with, which is that it is a material amount that will impact this fiscal year. Obviously part of it will have an impact also on the next fiscal year as well but it will be material on this year as well and we’ll provide more guidance on that as the year unfolds.
Jake Hindelong - Monness Crespi Hardt: Okay, great, thanks and one last question, just to follow-up on the last M&A question -- given your balance sheet strength and some very weak competitors in the current credit climate, is there anything on your radar this ski season that wasn’t there a year ago?
Robert A. Katz: Obviously we don’t comment on potential M&A. I think what I would say is that our interest in making strategic investments, acquisitions is not diminished by the change in the economic outlook. It certainly might change our view of value in the current environment but in terms of our interest in making the right strategic moves, that remains certainly totally ensconced. And I would also say that absolutely our balance sheet and strong financial position gives us many options that a lot of other people don’t have.
Jake Hindelong - Monness Crespi Hardt: Okay. Thank you.
Operator: Thank you. Our next question is a follow-up question from the line of Hayley Wolff with Rochdale Securities. Please go ahead.
Hayley Wolff - Rochdale Securities: Can you maybe walk us through real estate cash flow for this year? I mean, you disclosed that you had $320 million to $340 million remaining on existing projects. What piece of that goes out the door in fiscal ’09?
Jeffrey W. Jones: I think this year in ’09 will be a net investment in real estate, so net of the proceeds that we have received, which again we had non-recourse financing on the chalet project, so a lot of those proceeds obviously went to pay off the debt with the EBITDA coming forward, as net proceeds. And Crystal Peak, we obviously showed you the revenue there but we are spending more than that on the investment of construction and process on both the [inaudible] project and the One Ski Hill Place project in Breckenridge, so it is a net investment year in real estate.
Hayley Wolff - Rochdale Securities: Okay, and then how well can you take CapEx and still invest in the resorts?
Jeffrey W. Jones: I think that what we disclose is every year what we call kind of a maintenance level of CapEx and I think that that’s a number that we feel is what’s required not just to keep the lifts running but really to keep our resorts at the position that they are in in terms of the experience that they provide. We estimate that that number I think ranges from $38 million to $42 million per year and I think that is certainly a number that if -- I think we view is required. Like I said, that number could probably be cut further. If you looked at I think what other ski resorts spend, that maintenance number would still put us in a very strong position I think on a competitive basis versus everyone else out there, so if that helps.
Hayley Wolff - Rochdale Securities: Okay. And the down 23 booking number, will you even venture what that flow-through would look like on EBITDA if you stayed status quo?
Robert A. Katz: No.
Hayley Wolff - Rochdale Securities: I guess I should have asked the question differently -- how does that flow through to ski school bookings?
Robert A. Katz: I think there’s two pieces to that -- one is clearly you know, if we’re losing people who bought ski school last year and they are not coming then obviously there’s a one-to-one decline there. But I think there’s another level here obviously which is if more -- you know, there’s two things, one that could make the mix go up, one that can make the mix go down. The piece that can make the mix go up or better is if we are losing people who didn’t buy ski school last year and the people who are coming are folks who continue to buy ski school. I think that’s one possibility. And then net net, you are obviously still -- that’s still a negative but on a mixed basis, you could wind up okay. But the other piece that’s going to go the other way is that there’s a very real possibility, and it’s maybe even likely, that you are going to get some people who, even if they bought ski school last year will come back this year and not -- either -- and they will still come but not buy it or they bought three days of ski school, they should only buy two. So there’s a lot of different factors and we just don’t have enough visibility right now to kind of make any estimate as to how that’s going to play itself out. And I think again, we’ll have more, a better picture of that when we get to March.
Hayley Wolff - Rochdale Securities: Now with the epic pass and your total season pass numbers, you conceivably could see a high 30% to 40% of your visits coming out of pass sales -- is that sort of ball-park right?
Robert A. Katz: I think based on our current season -- I guess I would say this; based on the guidance that we originally gave out, based on the current season pass sales that we have, we would do about 33% of our lift ticket revenue from season passes, which would be up from 26% last year, up from probably the low 20s a few years back. So I think there’s no question that that strategy is still ensconced. Obviously right now our booking numbers, as we said, for the destination side of the business, would show us below where our original guidance is so yes, that number could -- that 33% could be higher. Obviously that’s not really at this point what we want, though, anymore.
Hayley Wolff - Rochdale Securities: Right. Okay, thank you.
Operator: Thank you. Your next question comes from the line of [Yusana Murakani] with MC2 Capital Markets.
Yusana Murakani - MC2 Capital Markets: I have a couple of questions, one of which was already answered, so obviously nix that -- looking at staffing, are you guys having any kind of issues related toward what’s going on immigration law wise? I saw a recent article talking about the slowdown of people from New Zealand and Australia, some of the traditional work force for the ski industry. What are you guys seeing for that?
Robert A. Katz: I think what I would say is there’s no question that I think that immigration has not been one of our best areas, or most favorite areas. I think that there’s some work that needs to be done on a political level to make that a more smooth process, one. So yes, I think that we have had issues there that started a year, year-and-a-half ago. I think with that said, a year ago we began a process of an entire upgrade of our whole recruiting effort and you know what I would say is that couldn’t have been better timed because when we did really lose access to many of the H2B Visa workers, these seasonal workers who we were getting from around the world, the good news was is that we had a whole apparatus set up and we are fully staffed. There will be no staffing issues whatsoever at any of our resorts. With that said, it doesn’t mean that these immigration issues are completely gone and I think we’d like to still improve them over time but in terms of this current season, staffing is not an issue whatsoever.
Yusana Murakani - MC2 Capital Markets: Okay. On the CME side, do you guys see any further -- is the van fleet, everything else, pretty much you guys don’t see any kind of hidden upgrades that have to be done to the fleet itself, or is everything pretty much just carrying over, rebranding basically the CME vans into the Vail Resort’s name or whatever, or are you just going to keep it CME?
Robert A. Katz: Well, we are going to keep the name CME and keep doing business under CME for sure. What we are doing is see what opportunities exist and doing a lot of meetings between our marketing folks and their marketing folks, our lodging folks, you know, to see how we can best take advantage of now owning that business to drive more business, both to CME and likewise from CME into our company. There were absolutely no surprises. The closing went very smoothly. We got everything we were expecting and to date, nothing that’s come up since then that wasn’t anticipated, so we are very pleased with how that whole transaction went down and occurred and they have a great, loyal, long-term employee base and we were very happy that came over and we are really excited about seeing it in operation this year.
Yusana Murakani - MC2 Capital Markets: Great. Now what -- just looking back on all the other questions that were answered as far as the 23% reduction in advanced bookings, is there any guidance you can give us as far as which resorts were affected more than others? Like was Heavenly part, to a greater extent affected in Vail as opposed to Keystone, et cetera, et cetera? Is there any kind of guidance you can give us on that?
Robert A. Katz: No, I think we are not going to share the breakdown. We don’t usually do that. I guess what I would say though is I think there are always -- and I think this year are differences between the resorts, but I would say there’s a lot more commonality between the resorts in terms of the decline. I think that it’s a broad-based decline. I think as we get further into the season and certainly after the season, I think we will be able to look backwards and have some sense but I think given the macroeconomic issues, I think that’s the lion’s share of the impact that we are seeing, and that’s pretty broad-based.
Yusana Murakani - MC2 Capital Markets: Okay, fair enough. I guess I’m just looking at the demographics and who is going to be going on vacation, et cetera, et cetera but I appreciate what you have said. Okay, great. Thank you.
Operator: Thank you. Your next question comes from the line of Larry Schumacher with Oppenheimer.
Larry Schumacher - Oppenheimer: I might have missed this but have you seen any quantifiable impact on your foreign guest visitations?
Robert A. Katz: I guess we maybe could speak to more foreign bookings. We have definitely seen a slow-down in foreign bookings. That’s certainly included as part of the 23% number that we’ve been talking about. I think a combination of the fact that the economic issues that we had in the U.S. I think started to expand to the rest of the world. I think that’s one issue. I think number two is that the dollar has strengthened and I think particularly against something like the Australian dollar, and I think that raised issues as well. With that said, I think what we feel like is that we had some very good momentum last year and that will actually last us quite a while, because we got a lot of first-time people here into our resorts to actually try it for the first time and establish a relationship and establish a communication dialog and a connection with these guests and the wholesalers. I think this year, given those two factors, there’s no question that the international visitation is going to be impacted as well.
Larry Schumacher - Oppenheimer: And just -- have you seen any discernible rise in cancellations? Do you give that number out?
Robert A. Katz: We don’t give that number out. I think we’ve seen some but I think the vast majority of what we are seeing is delayed bookings, or that issue, much more than we are seeing people who once they book are canceling.
Larry Schumacher - Oppenheimer: Okay, thanks.
Operator: (Operator Instructions) Your next question comes from the line of Gregory Kolb with Janco Capital Partners.
Gregory Kolb - Janco Partners: Thanks for taking the question. Really two timing questions, I guess -- on Crystal Peak and the Vail Chalets, you guys gave some pretty helpful color on the timing of closings, obviously because you have that visibility. I was wondering if you guys had anymore visibility, aside from the one that’s closing -- do you close on the Arabelle and the other units in Arabelle? And then also just some timing of the Mansfield Inn -- is that going to be included in the second quarter and third quarter as a full number or is it going to be kind of a partial number in there? Thanks.
Robert A. Katz: On the first thing, I think we really have -- the one Arabelle unit that still has not closed is not under contract and so we can’t really give any guidance per se as to when it will close. I think that will be a process that will unfold. The Mansfield Inn is a project that is under construction and so it will not be in our numbers for any of this fiscal year. I think it will come online in we believe two years.
Gregory Kolb - Janco Partners: Great. Thanks a lot.
Operator: Thank you. Our next question is a follow-up question from the line of Will Marks with JMP Securities.
Will Marks - JMP Securities: Thanks. You started to mention something about daily pricing -- you said you have not come out with those numbers yet?
Robert A. Katz: We have not announced what we typically have as the top lead price at our resorts yet, no.
Gregory Kolb - Janco Partners: Okay. And on CapEx, you mentioned a maintenance number -- anything further than that I guess you are budgeting for now?
Robert A. Katz: No, I think we are going to be reviewing that in detail, obviously talking it over with our board as well and we will be able to share some more details on that in the March call. I think what I would say is two things -- one, we are totally committed to continuing to drive the guest experience and use our financial strength as widening the differentiation between us and others. At the same time, we are -- our heads are not in the sand and obviously we are going to be looking at the economic environment around us and adjust accordingly.
Gregory Kolb - Janco Partners: Okay. A couple of other quick things -- Keystone, I don’t think you’ve made any announcement on new development there. I assume this is on hold?
Robert A. Katz: Yes, I think One River Run is certainly ready to go but in this current environment, that’s not a project that we are ready to launch yet.
Gregory Kolb - Janco Partners: Okay, and my last question is this CNL transaction, which I believe [inaudible], did you look at this deal? Was there any interest, any comments?
Robert A. Katz: I guess I’m not going to comment on whether we looked at the deal. I would say that the -- that many of those resorts would not be similar to the resorts we currently have.
Gregory Kolb - Janco Partners: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of [Victor Consoly] with [Perella Wineburg]. Please go ahead.
Victor Consoly - Perella Wineburg: Just a couple of questions -- following up on the CNL, from what I’ve read in some [inaudible] newsletters, I understand there’s potentially a lot of assets for sale out there and perhaps that maybe even some of the assets coming out of the Intrawest properties, that Fortress manages. Could you -- if anything came up and it was interesting to you, whether on the east or on the west, could you use your revolver line to make a purchase, that $400 million of undrawn revolver?
Jeffrey W. Jones: Yeah, we have the ability to use our revolver line for -- as part of any acquisition activity that we would be looking at.
Victor Consoly - Perella Wineburg: So I have to imagine, you are the number one marginal buyer in the industry, since -- you have got a healthy balance sheet so I imagine you are seeing all kinds of deals. Anything compelling? Is there a possibility of picking up an asset on the cheap in the next six months?
Robert A. Katz: Well first, I don’t think we’d ever use the word marginal but I would say --
Victor Consoly - Perella Wineburg: No, as a company on the margin because you --
Robert A. Katz: I’m sorry, I’m only making a joke but I think what I would say is that -- what I said earlier, which is that we don’t comment on prospective M&A. With that said, our interest in the right strategic assets is not diminished by the current economic climate.
Victor Consoly - Perella Wineburg: Okay, and just -- are you seeing a lot of competitive responses? I imagine there’s a lot of loyalty for your resorts but are you seeing some of the other areas that are -- that may be undergoing more stress? Let’s say the Intrawest properties, for example -- are they promoting heavily and you feel you’d have to have a competitive response to that?
Robert A. Katz: You know, we have not seen anything -- we’ve not seen anything in the market that is irrational. I mean, I think people are responding to the environment that we are in. I think it’s very consistent. I think it’s consistent with what we are seeing in the travel sector. If anything, I think the mountain resort part of travel will not see the same level of promotion that you will see in Las Vegas or Hawaii or the Caribbean or elsewhere, just because of the customer loyalty. I think the issue or the challenge sometimes for the Mountain Resort industry is growing because we can’t create new ski resorts. They have to be there to a certain extent in the first place. The benefit in this type of environment though is that the number of ski resorts that are really choices for the destination traveler has not changed in 30 years and therefore I think that puts the industry in a good place. So at this point, we haven’t seen the shift, other than what you would expect given the environment.
Victor Consoly - Perella Wineburg: Do you think elasticity is driven more by the price of airline tickets or by lodging offers?
Robert A. Katz: I think it’s a combination of both of those. I think we have little control over airlines, so that’s not something that we can focus on too much. We do obviously work closely with our airline partners but a lot of times those prices are set by a lot of other factors that have nothing to do with us. But as it relates to lodging, ski school, food, lift tickets, that’s something we do have control over and we are going to be aggressively pushing that. What I would say is I think people want to feel -- I don’t -- a lot of chatter out there about how well, you know, if you give somebody a $50 discount on a ski vacation, how is that going to make a difference? I think what we are seeing is that people want to feel good about making the decision to come out, and they want to feel like they are able to get a package or they were able to get the Epic pass or able to stay on one of the holidays for free and we do see that a lot of that is motivating people to pick up the phone. And we do have a variety of aggressive rates out there that have been quite successful at some of our properties.
Victor Consoly - Perella Wineburg: And I guess we’ll find that out soon but with all of the seasonal passes, you sold a bunch more than you did last year -- I mean, has your experience before been that once people come, they still tend to spend money on food and drink? Maybe they spend a touch less but they are not going to be brown-bagging lunches and things like that?
Robert A. Katz: Well, I think that the season passes that we have, particularly in Colorado and certainly even in the Tahoe market, I think that they generally do spend less than folks who were coming from New York. We don’t know yet whether somebody who is in New York who last year bought daily lift tickets this year bought an epic season pass. We don’t know whether that spending is going to change.
Victor Consoly - Perella Wineburg: Okay. Thank you very much.
Operator: Thank you. Our next question is a follow-up question from the line of Anthony Powell with Barclays Capital.
Anthony Powell - Barclays Capital : Just one more quick one on real estate -- how is the activity, what’s the sales at, and what’s Ski Hill Place and the Ritz [at]?
Robert A. Katz: I would say fairly modest to minimal. I think that -- two things; one is Mountain real estate, the prime season for selling obviously is coming up now but the other thing I would say, and I think it’s important to understand this, is that both of those projects do not close and come online until kind of mid- to later 2010. And so I think one of the things that I think we are fully expecting is that the incentive for people to buy years in advance of when they can actually move into their unit obviously has gone down and we’re not -- that’s not surprising to us at all. I think the good news is in both projects, we have a healthy number of presales and contracted sales -- in fact, almost a third of the units in the Ritz project to Marriott themselves. So I think we actually feel we obviously prefer the market be more robust but we feel like both of those projects are still in good shape, given when they closed.
Anthony Powell - Barclays Capital : Have you talked with the buyers at all about their continuing interest and going along with it, or have they come back to you with [inaudible] on price or has there been any sort of communication at all?
Robert A. Katz: Could you say that again? I missed the first part.
Anthony Powell - Barclays Capital : Between the buyers of potentially of the Ritz and you guys, have you talked to them about their continuing interest in going through with the -- have there been cancellations yet?
Robert A. Katz: No, and it’s not a conversation we are having.
Anthony Powell - Barclays Capital : Okay. All right, thanks.
Operator: (Operator Instructions) Our next question is a follow-up question from the line of Yusana Murakani with MC2 Capital Markets.
Yusana Murakani - MC2 Capital Markets: One more follow-up question -- one thing that wasn’t mentioned I don’t think was Evervale. Are you guys still going full bore on that or is that temporarily on hold?
Robert A. Katz: No, actually we are moving undeterred, so to speak, on all the planning, all of the approvals, and so I would say that’s not a project that we are holding off on at all. I think when it comes time to begin presales and construction on the project, obviously we’ll be looking at the market around us but at the moment, we are fully engaged on that.
Yusana Murakani - MC2 Capital Markets: Great. Oh, and one last question on the airport -- last year you guys were talking about meeting with Eagle Vail and maybe getting an extension of the runway, et cetera, et cetera. Has that in this environment been put on hold?
Robert A. Katz: That process is actually -- when you say -- you mean the Eagle Vail Airport?
Yusana Murakani - MC2 Capital Markets: Yeah, Eagle Vail, exactly.
Robert A. Katz: Yeah, that process is actually a process that is going on with the federal government and so -- actually I think we can get back to you with the exact status of that. I don’t have it off the top of my head.
Yusana Murakani - MC2 Capital Markets: Sounds good. Thanks, guys.
Operator: Thank you. At this time, there are no further questions in the queue. Ladies and gentlemen, this concludes the Vail Resorts fiscal 2009 first quarter results conference call. If you would like to listen to a replay of today’s conference, please dial 303-590-3000, or 800-405-2236, with the access code of 11122632#. Thank you for your participation and you may now disconnect.